Operator: Thank you for joining us for Navios Maritime Partners Fourth Quarter 2023 Earnings Conference Call. With us today from the Company are Chairwoman and CEO, Ms. Angeliki Frangou; Chief Operating Officer, Mr. Efstratios Desypris; Chief Financial Officer, Ms. Erifili Tsironi; and Vice Chairman, Mr. Ted Petrone. As a reminder, this conference call is being webcast. To access the webcast, please go to the Investors section of Navios Partners' website at www.navios-mlp.com. You'll see the webcast link in the middle of the page, and a copy of the presentation referenced in today's earnings conference call will also be found there. Now, I will review the Safe Harbor statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners management and are subject to risks and uncertainties, which could cause actual results to differ materially from the forward-looking statements. Such risks are more fully discussed in Navios Partners filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this conference call. The agenda for today's call is as follows: first, Ms. Frangou will offer opening remarks. Next, Mr. Desypris will give an overview of Navios Partners segment data. Next, Ms. Tsironi will give an overview of Navios Partners financial results; then Mr. Petrone will provide an industry overview; and lastly, we’ll open the call to take questions. Now, I’ll turn the call over to Navios Partners Chairwoman and CEO, Ms. Angeliki Frangou. Angeliki?
Angeliki Frangou: Good morning all and thank you for joining us on today's call. I am pleased with the results of the fourth quarter and full year of 2023. For the quarter, we reported revenue of $327.3 million and net income of $132.4 million. For the full year, we reported revenue of $1.3 billion and net income of $433.6 million. Net earnings per common unit was $4.30 for the quarter and $14.08 for the full year. The general background in which we operate is important. In 2023, the world continues to experience disruption in normal trade routes. Regional conflict initially in Ukraine and Russia and later in the Middle East introduced uncertainty and inefficiency in transportation. Most recently, we have seen traffic in the Suez Canal reduced by over 50%. This disruption is compounded by a drought limiting traffic in the Panama Canal. Consequently, a typically seasonally slow Q1 has been surprisingly strong in 2024. In addition, the U.S. and European economies seem to have managed inflationary pressures and are generally healthy. While there are pockets of weakness, the economies of most of the top 10 economies are growing. Further, China seems to be leveraging its export strength to counter the economic issues it is facing domestically. Should the current environment remain, we would expect trade to remain strong for 2024. However, I do note that this robust environment can change quickly should conflict-driven efficiencies clear and all economies suffer from a further wave of inflation. As usual, we continue to execute on a strategic initiative by focusing on things that we can control, such as reducing leverage, modernizing our energy efficiency, and taking long-term cover where available. Please turn to slide seven. Navios Partners is a leading publicly listed shipping company diversified in 15 asset classes in three sectors. We have $296.2 million of cash on our balance sheet, and in the fourth quarter, we earned about 5.4% interest on an annualized base in our cash balance sheet. Our fleet modernization continues. In the period 2023 to 2024 year-to-date, we sold 17 vessels generating gross sale proceeds of $327.6 million. We took delivery of two container ships, charter out for over five years at an average net rate of $37,015 per day. We also added about $137 million of contracted revenue to our coverage with various long-term charters, mainly in the Tankers [ph] segment. For 2024, 63% of our 56,058 available days are fixed. This creates a current break-even of $491 per open day. Let's now turn to slide eight. On this slide, we provide an overview of our execution in terms of seven important metrics comparing 2023 to a base year of 2022. As you can see, our fleet remains about the same size today as it was in 2022. With all of the purchases and sales effectively being netted out as we modernize our fleet. Not accidentally, our fleet age remains the same. We believe that while we must be patiently await the development of carbon neutral technologies, we can maximize energy efficiency by maintaining a fleet of useful vessels containing current technology. In addition, as you can see from vessel's value, the diversity of our fleet has allowed the steel value of our fleet to improve by about 3% from 2022. I would also note that these steel values do not give any consideration to our contracted backlog, which today is about $3.3 billion. With a stable and performing fleet, our financial metrics have improved. Year-over-year, revenue is up 8% and adjusted EBITDA is up by 12%. These developments allow us to reduce our debt by 6% to $2 billion and increase our cash balance by about 70% to almost $300 million. Consequently, we are on the path to our target net leverage of 20%, 25% with current net leverage of 38.2%. This is an improvement of 15% over year-end 2022. I would like now to turn the presentation over to Mr. Efstratios Desypris, Navios Partners Chief Operating Officer. Efstratios?
Efstratios Desypris: Thank you, Angeliki. Good morning all. Please turn to slide nine, which details our operating free cash flow potential for 2024. We fixed 63% of available days at an average rate of $24,910 net per day. This created an estimated operating break-even of $491 per day for the remaining 20,497 days that are open or indexed. On the right side of the slide, we provide our 56,058 available days by vessel type so that you can perform your own sensitivity analysis. However, whatever number used, we should develop substantial cash flow in 2024. Please turn to slide 10. We are always renewing the fleet so that we maintain a young profile. It is part of our strategy to reduce our carbon footprint by modernizing our fleet, benefiting from new technologies and eco-vessels with greener characteristics. During Q4 of 2023 and Q1, 2024, we got delivery of two 5,300 TEU container ships, both chartered out for an average of 5.2 years at an average net daily rate of $37,050 per day, generating revenue of approximately $140 million. Following these deliveries, we have $1.6 billion remaining investment in 26 new building vessels delivering to our fleet through 2027. In container ships, we have 10 vessels to be delivered with a total acquisition price of approximately $736 million. We have mitigated this risk with long-term credit worth charters, generating about $0.9 billion in revenue over a 6.6 year average charter duration. In the tanker space, we acquired 16 vessels for a total price of approximately $885 million. We started out ten of these vessels for an average period of five years, generating revenues of about $0.5 million. The Dry Bulk newbuilding program of eight vessels was completed in June 2023 with a delivery of the last Capesize vessel. We have also been opportunistically selling older vessels 2023 and year-to-date in 2024 we have sold 17 vessels with an average age of 15.4 years for $327.6 million. We sold eight tanker vessels for about $215 million and 9 dry bulk vessels for about $114.5 million. Moving to slide eleven, we continue to secure long-term employment for our fleet. In Q4 2023 and year-to-date 2024, we have created about 140 million additional contract revenue. Approximately $125 million comes from our tanker fleet and about $15 million comes from one dry bulk vessel. Our total contract revenue amounts to $3.3 billion, $1.1 billion relates to our tanker fleet, $0.4 billion relates to our dry bulk fleet and $1.8 billion relates to our container ships. [Indiscernible] are extended through 2037 with a diverse group of quality counterparties. About 50% of our contracted revenue is expected to be earned in the next two years. I now pass the call to Eri Tsironi, our CFO, which will take you through the financial highlights. Eri?
Eri Tsironi: Thank you Efstratios and good morning all. I will briefly review our unaudited financial results for the fourth quarter and the year ended December 31, 2023. The financial information is included in the press release and is summarized in a slide presentation available on the company's website. Moving to the earnings highlights on slide 12, total revenue for the fourth quarter of 2023 decreased to $327 million compared to $371 million for the same period in 2022 on the back of 6% less available days and 5% lower combined time charter equivalent rate. Revenue in Q4 2023 compared to Q3 2023 increased by $4.1 million on the back of higher combined time charter equivalent rate despite lower available days. Time Charter revenue for the three month period is understated by $10.5 million because U.S. GAAP rules require the recognition of revenue for our charters with deescalating rates on a straight line basis. In terms of sector performance, TCE rates for the fourth quarter of 2023 for our dry bulk fleet increased by 6.5% to 16,902 per day compared to the same period in 2022. In contracts, our container and tank at PCE rates were approximately 11% lower compared to the same period last year at 30,356 and 27,562 per day, respectively. EBITDA, net income, and EPU were adjusted as explained in the slide footnote. Excluding these amounts, adjusted EBITDA for Q4 2023 increased to $227 million 13% higher compared to the same period last year and almost 31% higher compared to Q3 2023. Adjusted net income for Q4 2023 increased to $133 million 18% higher compared to Q4 2022 and 61% higher compared to Q3 2023. Total revenue for 2023 increased by 8% to $1.3 billion compared to $1.2 billion for the same period in 2022. Time charter revenue for the period is understated by $40.7 million because U.S. GAAP rules require the recognition of revenue for our charters with the escalating rates on a straight line basis. The increase in revenue was mainly a result of a 10% increase in our available days to 54,766 compared to 49,804 in 2022. Our combined PCE rate for 2023 was lower at 22,337 per day compared to the same period last year. In terms of sector performance, both tankers and containers enjoyed improved rates compared to the same period last year. 2023 time-chartered equivalent rates for our tankers increased by 36% to 28,662 per day, and for our containers, by approximately 8% to 33,770 per day compared to the same period last year. In contrast, our dry-fleet TCE rate was 36% lower compared to the same period last year at 40,422 per day. Adjusted EBITDA for 2023 increased by 12% to $748 million compared to $668 million in 2022. Adjusted net income for 2023 increased by 11% to $383 million compared to $430 million last year. Our net income was negatively affected by a $55 million reduction and the positive impact of the amortization of unfavorable leases, and a $41 million increase in our interest expense, net of interest income due to the increase in our debt levels and the interest rate costs. Adjusted earnings per common unit for 2023 were $12.45. Turning to slide 13, I will briefly discuss some key balance sheet data. As of December 31st, 2023, cash and cash equivalents, including restricted cash and time deposits in excess of three months, were $296 million. During 2023, we paid $465 million of pre-delivery installments on our new building program, vessel acquisitions, and other capitalized expenses. We sold 15 vessels for $259 million net, adding about $163 million cash after the repayment of their expected debt. Long-term borrowers, including the current portion of the net of deferred fees, reduced to $1.86 billion. Net debt to book realization decreased to 33.8%. Slide 14 highlights our debt profile. We continue to diversify our funding resources between bank debt and leasing structures, while 36% of our debt has fixed interest at an average rate of 5.6%. We also try to mitigate part of the increased interest rate cost having reduced the average margin of our floating rate debt by approximately 40 basis points to 2.3% from 2.7% at 2022 year-end. Our maturity profile is targeted with no significant balloon view in any single year. In terms of our newbuilding program, 80% of our newbuilding financing is already concluded or in documentation phase at an average margin of 1.8% for floating rate debt. In January 2024, we have signed a $40 million facility with a new lender to refinance three vessels where we managed to decrease our margin and extend maturity. Turning to slide 15, you can see our ESG initiatives. We continue to invest in new energy efficient vessels and reduce emissions through energy saving devices and efficient vessel operations. In February 2024, Navios in collaboration with Lloyds Registers founded the Global Maritime Emissions Reduction Center that will focus on optimizing the existing global fleet efficiency. Navios is a socially conscious group whose core values include diversity, inclusion, and safety. We have strong corporate governance and clear code of ethics while our board is composed by majority independent directors. And now I'll pass the call to Ted Petrone to take you through the industry section. Ted?
Ted Petrone: Thank you, Eri. Please turn to slide 17 for a view of current trade disruptions. The Panama and Suez Canals, two strategic maritime transit points, continue to operate at restricted transit levels. With regard to the Suez Canal, the Red Sea disruptions have caused a rerouting of ships via the Cape of Good Hope, increasing costs and ton miles. Since the end of November, transits have reduced by 75% for containers, 51% for product tankers, 16% for crew tankers, and 34% for drive bulk vessels. Panama Canal daily transit restrictions stand at 24 vessels, 33% below normal. Please turn to slide 19 for a view of the tanker industry. World GDP grew at 3.1% in 2023 and is expected to grow by 3.1% again in 2024 based on the IMF's January forecast. There's 85% correlation of world oil demand to global GDP growth. In spite of economic uncertainties and the crisis in the Ukraine and Red Sea, the IEA projects a 1.2 million barrels per day increase in world oil demand for 2024 to 103 million barrels per day. Chinese crude imports continue to rise, averaging 11.3 million barrels per day in 2023, an 11% increase over 2022. After a seasonally low Q3, all sector rates increased in Q4 on the back of higher global demand and increasing refinery throughput led by China and India. Additionally, seaborne crude and clean trading patterns, which were initially diverted to longer haul routes due to Russian sanctions, have once again been rerouted by the above-mentioned Red Sea disruptions. These even longer haul routes continue to increase ton miles, putting pressure on both costs and rates. Recent rates remain firm, having risen on the back of rising demand. The Saudi and Russian export cuts have been somewhat mitigated by increased Atlantic exports. Turning to slide 20. As previously mentioned, both crude and product rates remain strong across the board due to healthy supply and demand fundamentals, minimal fleet growth, and shifting trading patterns. Product tankers are also aided by healthy refinery margins that discounted Russian crude exported to the Indian Ocean and the Far East, returning to the Atlantic as clean product. Crude ton mile growth increased by 6.2% in 2023 and is expected to grow by a further 4.1% in 2024. Similarly, product ton miles increased 9.6% in 2023 and are expected to grow 7.3% in 2024. These percentage increases anticipate some continued canal restrictions, but could rise based on the duration of these sanctions. Turn to slide 21. VLCC net fleet growth is projected at 2.2% for 2023 and a negative fleet growth of 0.5% for 2024. This decline can be partially attributed to owners' hesitance to order expensive, long-lived assets in light of macroeconomic uncertainty and engine technology concerns due to CO2 restrictions as forced since the beginning of the year. The current record low order book is only 2.6% of the fleet or only 23 vessels, one of the lowest in 30 years. Vessels over 20 years of age are about 17% of the fleet, of the total fleet, or 157 vessels, which is almost seven times the order book. Turning to slide 22. Product tanker net fleet growth is 2.1% for 2023 and projected to be only 1.4% for 2024. The current product tanker order book is 12.7% of the fleet, one of the lowest on record and is approximately equal to 14.6% of the fleet, which is 20 years of age or older. In concluding the tanker sector review, tanker rates across the board continue at historically healthy levels. Combination of below average global inventories, growth in oil demand, longer, new longer trading routes for both crude and products as well as one of the lowest order books in three decades and the IML 2023 regulations should provide for healthy tanker earnings going forward. Please turn to slide 24 for a review of the dry bulk industry. The first eight months of 2024 rates in all sectors remain muted as record Chinese imports were mitigated by unwinding congestion. Chinese raw material demand continued throughout 2023 on the back of persistent economic stimulus and continued stockpiling. Strong Atlantic exports of iron ore, bauxite and grain in Q4 led both the BDI and CAPE rates to peak on December 4th at 3,346 points and $54,584 respectively. The BDI opened 2024 at 2093 and the year-to-date average standard is approximately 1600 levels rarely seen in the early part of the year. Despite the negative headlines, Chinese imports of iron ore, coal, soybeans and bauxite in 2023 were up 16% over 2022. With regard to iron ore, China's GDP grew at 5.2% in Q4 of 2023. Chinese continued stimulus measures and stocking should assist iron ore demand which recorded record imports in 2023 of 1.16 billion tons. Coal trade continues to be impacted by the war in Ukraine as a ban on Russian coal shifted trading patterns towards longer haul routes. Global imports are expected to increase 3% or about 19 million tons second half of 2024 over the first half of 2024. As with coal, the global grain trade is also impacted by the war in Ukraine shifting trading patterns to longer haul routes. Seaborne grain trade volume is expected to grow by 1.9% in 2024. Going forward, supply and demand fundamentals remain intact and normally seasonally stronger Q2 the historical low order book, continuing canal restrictions and tightening GHG emissions regulations remain positive factors, which are reflected in the period and FFA market. Please turn to slide 25. The current order looks standard 8.5% of the fleet, one of the lowest since the mid-1990s. Net fleet growth to 2023 was 3.1% and was expected to be only 2.3% in 2024. As owners removed time, there will be an economic to the IMO 2023 CO2 rules enforced since the beginning of this year. Vessels over 20 years of age are about 10.1% of the total fleet, which compares favorably with the historically low order book. In concluding, our dry bulk sector review, continuing demand for natural resources, restrictions in transiting both the Panama and Suez canals, war and sanction related longer haul trades combined with the slowing pace of new built deliveries, all support freight rates going forward. Please turn to slide 27 for review of the container industry. The SCFI currently stands at 21.66, up some 150% over its 2023 low of 8.87 on September 29th, and 14% higher than the open 2024. Downward pressure from reduced trade and increasing deliveries for most of 2023 board SCFI levels back down to pre-pandemic levels. However, a slight improvement in trade flow followed by rerouting of vessels away from the Red Sea and around the Cape of Good Hope for increased ton of miles which propelled SCFI levels back above the previously mentioned pre-pandemic levels. Upward pressure for Time charter rates should remain for the duration of the Red Sea disruption. However, continuing record fleet growth should eventually modify these gains and reverse costs when the Middle East conflict settles. Though the trade is expected to grow by 3.8% in 2024 and 3.1% in 2025, new building deliveries in 2024 and 2025 will be equivalent to approximately 17% of the fleet after record net fleet growth of 8% this year followed by similar level in 2025. This should continue to put pressure on rates for some time. The graph on the lower left shows a continuing growth in U.S. consumer purchases of goods which is still about pre-pandemic levels in line with recently reported U.S. GDP growth for 2023. Imports in the U.S. have slowed, easy port takeaway, bottlenecks and port congestion, but inventories may be affected by the longer ton miles due to previously mentioned trade disruptions. Turning to slide 28, net fleet growth was 8.2% for 2023 and is expected to be 8% for 2024. The current order of the stand at 23.6% against 12.3% of the fleet 20 years of age or older. About 72% of the order book is 10,000 TEU vessels or larger. In concluding, the container sector review, supply and demand fundamentals remain challenged due to economic and geopolitical uncertainties in an elevated order book. However, the prospect of Chinese stimulus increasing ton miles and world GDP growth of 3.1% for 2024 provide a counterpoint to a challenging 2024. This concludes our presentation. I would now like to turn it over to Angeliki for her final comments. Angeliki?
Angeliki Frangou: Thank you, Dave. This completes our formal presentation and we open the call to questions.
Operator: [Operator Instructions] Our first question will come from Omar Nokta with Jefferies. Please go ahead.
Omar Nokta: Thank you. Hey, guys. Good morning. Good afternoon. Thanks for the update. Very good detail, I think, just on the company and the market overall. And just had a couple of follow-ups and maybe just kind of big picture. I wanted to ask about strategy. You show on Slide eight the priorities in 2023, which were deleveraging and fleet renewal, building the backlog and maintaining profitability. You generally, I would say, executed on that. How do you see strategy in 2024? Does that change in any way relative to 2023 especially in the context of what's going on disruption-wise in the Black Sea and the Red Sea? Thank you.
Angeliki Frangou: Good morning, Omar. I mean, basically, we have actually put a page here, I mean, on the strategy, page eight. And this is -- our target is one. As we have very well-articulated is to have a 20%, 25% net LTV. And we gave a forecast. We gave -- we have about 176 vessels, and we have done in 2023, even though we sold 17 vessels, keeping the average age the same, increasing our revenue to about $1.3 billion, creating an adjusted EBITDA of almost $750 million and net cash of $300 million, almost $300 million. Contracted revenue is a very important element in our strategy that gives us ability to navigate. So we have about $3.3 billion, and we've managed to bring net LTV to 38%. As we've seen the disruptions which have contributed to the better market and also, we've seen economies that are the top 10 economies are doing pretty well even with some weaknesses. We believe that as we are continuing and we think the 2024 developing, we will have a much better understanding how the market will perform, and that will give us a lot of options.
Omar Nokta: Thanks Angeliki and I guess as you mentioned in the opening remarks that you'll focus on what you can control, given all the uncertainty. Obviously, the 38% LTV is obviously much stronger than where it was. Part of that is obviously incoming cash. You've also had asset value appreciation. You just said you've sold 17 ships recently. You have been taking delivery of several of the contracted newbuildings, yet more newbuildings to come. Just we've seen very firm prices in the sale and purchase market. We -- at least what it looks like, particularly in dry bulk and tankers, how do you see Navios kind of reacting in this context of rising value? The disruptions have led to higher incoming cash flow. It's also now led perhaps to rising values. Are you expecting to sell more ships into strength and take advantage of these opportunities and perhaps help you delever sooner? And if that's the case, any specific segments that you see an opportunity to sell into strength?
Angeliki Frangou: We are very disciplined in that and you have seen us over the last couple of years. We always compare residual value, sale value and charter rate. When we see, I mean, we just sold a 15-year-old VLCC with a special survey due. I mean, that was at a historically high level considering the CapEx. And at the same time, we may take opportunities of fixing others. So this is something that we will do constantly with the target of the 20% 25% net LTV. It works both ways. You can create either cash flow up front or through the cash flows over the period. We just did a five-year deal on the tanker segment on product. That was at historically high level, very historically high. So this is something that we are concentrating and we are maximizing the opportunity. One of the things we have to realize is that this kind of a market we are having, we have a strong market in shipping that is driven from disruption and inefficiencies, Red Sea, Panama Canal, conflicts and good economies. We don't know how much of what is actually affecting the market. That's why you see us being taking the opportunity on fixing and also keeping in other sectors spot exposure. It's a balance.
Omar Nokta: Yes, no, that makes sense. And maybe a final one for me. Ted discussed the container market and how that's strengthened here recently. Obviously, a lot of uncertainty ahead given the order book. You do have a handful, not a big amount, but you have a handful of smaller vessels that come available for new charter. Has there been any shift in how liners have approached you or ship owners in general about looking for vessels, any sort of sense you can give on potential duration relative to what had been available, say, three months ago?
Angeliki Frangou: If there is one sector that Red Sea has been very affected in a positive way, it has been the container sector. So, I mean, definitely we have seen, we have about four vessels that are coming open, and this is a kind of an environment where we judge whether you can do a two-year charter and create a contracted revenue or a sale. This is the kind of opportunity that you will be looking. Definitely, the additional round-the-cape and additional strengths of containers that you need has positively affected that sector. But it's a disruption that you don't know when, how this will change.
Omar Nokta: Yes, definitely. Okay, well, thanks, Angeliki. That's it for me. I'll turn it over.
Angeliki Frangou: Thank you.
Operator: Thank you. Our next question comes from Chris Wetherbee with Citigroup. Please go ahead.
Chris Wetherbee: Hey, thanks. I guess I wanted to come back to the debt target, the leverage target that you mentioned, I think 25%. So can you talk about timing? How do you think, obviously, the market is stronger now, so does that accelerate the timeline at all in terms of reaching that? I want to get a sense of how you think about that.
Angeliki Frangou: I think one of the issues, I'll say, you have these disruptions that if I take you back in October 1st of 2023, nobody knew what will happen. And we saw a totally different market that created cash flows and a value coming up. If we look on 2024, I think this is something that we'll see how it develops, because you can have disruptions, change, geopolitical events, and then you will see the real economies, how they are performing, which are not generally doing badly, but you don't know how much of the wind is from the one side or the other. And that will actually give you the opportunity because you may have values coming up. We have seen values coming on the dry bulk, on tankers coming up. You don't know how that will affect in a significant way. We have a very strong Q1 that we haven't seen for a long time. This developing over the year can bring you very quickly in your target. We will have on the second half, we will have the opportunity to know better. Sorry.
Chris Wetherbee: Okay. No, that's helpful. I appreciate it. And I guess, yes, I mean, when you think about the disruptions on the container side, whether it be Red Sea or Panama Canal, I guess two questions for you, and maybe more operational. So bear with me, I guess. Are you seeing anything from a demand standpoint transferring more to U.S. West Coast over U.S. East Coast? And then I think, and I guess, generally speaking, are you seeing liner companies change the way they deploy vessels to account for this? So are strings getting longer, more vessels being added on each one of these strings? I don't know how transparent that is to you as a vessel owner, but any comments you have there would be helpful in terms of how the operations are changing as a result of what's going on with the Red Sea.
Angeliki Frangou: We've had some very interesting conversations with some of the liners, but Ted will give you in depth. I think this is a sector that is very, very much affected by both events.
Ted Petrone: Hey, Chris. I would say it's a sector that's affected the most. 34% of all containers seem to go through that area, 20% of the vessels. You've had a lot of switching over to the West Coast. They've been -- the associations have been moving their ships around. So obviously, if you look at the SCFI going from the Far East into the West Coast, it's tripled since November. So there's a lot of movement around of cargo. So a lot of inefficiencies. Maybe it settles down. Maybe we've seen a high, but there's going to be a continuing upward pressure while this major sector gets eliminated, right? I mean you're just moving routes around, and now they've got to figure out what ships are going to go where. It's changing the landscape, and it looks to be with us for a while.
Chris Wetherbee: Do you have a sense of what you think the actual capacity reduction is from sort of the variety of disruptions going on in the market?
Ted Petrone: Well, if you have – think about it. We have 34% of the containers going through and 20% of the vessels. So you're having the bigger vessels go. It's a bigger disruption for Europe. It's probably more inflationary. So it's sort of a mainline shift that's going to have to be diverted. Now, the mainline ships can't come to the States, but you have to fill in with the smaller ships. And so that's affecting the U.S. with the 14 to 16,000.
Angeliki Frangou: I mean, in a ton-mile of rail, I think that you can see that you can build -- they will judge it afterwards, but it can have over 10% ton-mile effect on this.
Ted Petrone: Overall the world. I'm just going to Europe. It's a good 33% more on the rail. So that you know…
Chris Wetherbee: Yes, that's a good sign. Fantastic. Well, thanks so much for the time. I appreciate it.
Angeliki Frangou: Thank you.
Operator: Thank you. At this time, I would like to turn the call back to Angeliki for any closing remarks.
Angeliki Frangou: Thank you. This completes our quarterly result. Thank you.
Operator: And this does conclude today's call. We thank you for your participation. You may disconnect at any time.